Operator: Good afternoon. My name is James and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit’s First Quarter Fiscal Year 2018 Conference Call. [Operator Instructions] With that, I will now turn the call over to Jerry Natoli, Vice President, Finance and Treasurer. Natoli?
Jerry Natoli: Thanks, James and thanks for all for joining us. James, we couldn’t quite hear you, so hopefully the line is open. If it’s not, please work the communications line and let us know. Good afternoon and welcome to Intuit’s first quarter fiscal 2018 conference call. I am here with Brad Smith, our Chairman and CEO; Neil Williams, our CFO; and Michelle Clatterbuck, our incoming CFO. Before we start, I would like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2017 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s website at intuit.com. We assume no obligation to update any forward-looking statement. Some of the numbers in these remarks are presented on a non-GAAP basis. We have reconciled the comparable GAAP and non-GAAP numbers in today’s press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I will turn the call over to Brad.
Brad Smith: Thanks, Jerry, and thanks to all of you for joining us. We are off to a strong start in fiscal year 2018. In the first quarter, we grew revenue 14% and exceeded our overall financial targets. Small Business and Self-Employed Group revenue grew 17%, with QuickBooks Online subscribers growing 56% and the online ecosystem revenue growing 35%. Both the Consumer Group and Strategic Partner Group revenues were also in line with our expectations. With that backdrop, let me share some observations on our business overall, starting with the Small Business and Self-Employed Group. QuickBooks Online subscriber growth continues at a rapid pace, with online ecosystem revenue accelerating. We exited the quarter with over 2.5 million QuickBooks Online subscribers, surpassing the 2 million subscriber milestone during the quarter in the United States, while our non-U.S. base grew 70% year-over-year to approximately 550,000 subscribers. Within QuickBooks Online, Self-Employed subscribers grew to roughly 425,000, up from 390,000 last quarter and 110,000 just 1 year ago. The strong growth in QBO customers and online ecosystem revenue reflects our focus on improving the customer experience and delivering what matters most in their lives when choosing our products that is more money, no work and complete confidence. Our teams are laser focused on delivering these customer benefits and they have produced a steady flow of new features and capabilities, many of which were showcased at our QuickBooks Connect conference last week. Our QBO innovations are resonating with customers, with our most recent net promoter scores once again improving this time by more than 6 points, on top of the 22 point improvement we drove last year. These improvements are reflected in each geography around the globe positioning us well versus local alternatives and giving us confidence in continuing our expected QBO subscriber growth north of 40%, with online ecosystem revenue growth of more than 30%. Turning to the Consumer Group, first quarter revenue finished in line with our expectations, up 7% year-over-year. We are gearing up for the upcoming tax season and remain laser focused on delivering an outstanding end-to-end customer experience for do-it-yourself taxpayers. We are also launching our new TurboTax Live offering, leveraging technology for those seeking access to a tax expert on demand. Our experience with October tax extension filers gave us an opportunity to run some water through the pipes and we are encouraged by the results as we head into the season. As we discussed last quarter, our Consumer Group now includes Mint and personal financial management. We unveiled our new Turbo platform at the Money 20/20 Conference in mid-October. Turbo was the first step towards expanding beyond a tax offering to a consumer platform. This platform will improve the overall financial health of the end-user. Turbo goes beyond a credit score and unleashes the power of verified IRS-filed income, the credit score and the debt-to-income ratio to show customers who give consent where they truly stand. We announced an exciting slate of initial partners who will use the platform to provide offerings for participating customers starting early in calendar 2018. Moving on to the Strategic Partners Group, our professional tax revenue was also in line with our expectations for the quarter. We continue to focus on multi-service accounting firms that do both books and taxes. This is in service to driving our accountant’s success, while growing our small business ecosystem. Putting a bow around the quarter, we are off to a strong start to fiscal 2018 and we are excited about our prospects for the year. With that overview, let me hand it to Neil to walk you through the financial details.
Neil Williams: Thanks, Brad and good afternoon everyone. For the first quarter of fiscal 2018, we delivered revenue of $886 million, up 14% year-over-year, a GAAP operating loss of $57 million versus $61 million a year ago. Non-GAAP operating income of $43 million versus $32 million last year, GAAP loss per share of $0.07 versus $0.12 last year and non-GAAP diluted earnings per share of $0.11, up from $0.06 last year. Turning to the business segments, total Small Business and Self-Employed revenue grew 17% in the quarter, up from 14% in fiscal 2017. QuickBooks Online subscriber growth remains strong at 56%, ending the quarter with 2.552 million subscribers. Small business online ecosystem revenue accelerated to 35% in the first quarter from 30% in fiscal 2017. Online accounting continues to drive this revenue growth. We expect year-over-year QBO subscriber growth to slow in the second half of the year due to the introduction of the Self-Employed bundle last tax season. We remain confident in our outlook for growth in QBO subs as reflected in our fiscal 2018 guidance of 3.275 to 3.375 million subscribers. We also continue to expect online ecosystem revenue to grow better than 30%. Desktop ecosystem revenue grew 8% in the quarter driven by QuickBooks Enterprise strength. QuickBooks Desktop units fell 35%. Remember that operating system changes in the year ago period led customers to upgrade to the newest desktop version, which drove strong unit growth last year. For fiscal 2018, we expect QuickBooks Desktop units to decline mid-teens and desktop ecosystem revenue to be up mid single-digits. Total Consumer revenue was up 7% for the quarter, while professional tax revenue within the Strategic Partner Group grew 2%. Looking ahead, I am excited about the opportunity TurboTax Live provides to address the needs of more tax filers. We typically see 3 million prior year TurboTax customers go to a pro each year. TurboTax Live provides us the opportunity to keep more of these customers in our franchise. Turning to our financial principles, we continue to take a disciplined approach to capital management. We finished the quarter with approximately $780 million in cash and investments on our balance sheet. Our first priority for cash remains investing in the business to drive customer and revenue growth. Next, we use acquisitions to accelerate our growth and fill out our product roadmap. We return cash that we can’t invest profitably in the business to shareholders via both share repurchases and dividends. We repurchased $170 million of shares in the first quarter. Approximately $1.4 billion remains on our authorization. We expect to be in the market each quarter this year. The Board approved a quarterly dividend of $0.39 per share payable January 18, 2018, an increase of 15% over last year. Our Q2 fiscal 2018 guidance provides revenue growth of 14% to 16%, GAAP diluted earnings per share of $0.08 to $0.11, and non-GAAP diluted earnings per share of $0.31 to $0.34. You can find our Q2 and fiscal 2018 guidance details in our press release and on our fact sheet. Finally, I would just like to say that I am thankful for the opportunity to work with you Brad for the last 10 years. It has been the highpoint of my career to learn from you and to laugh with you during our time together and I will miss you.
Brad Smith: There are no words, although I will share some at the end of the call, but I do say that this last 10 years have flown by like it was just blink of an eye. It’s been an awesome ride. Shifting back to the business, we are pleased with the strong start to the fiscal year and we look forward to accelerating our momentum as we head into peak season. We couldn’t be more proud of the work that our employees are doing. With that, let’s open it up to hear what’s on your mind.
Operator: Thank you. [Operator Instructions] Our first question comes from Brent Thill with Jefferies. Your line is open.
Brent Thill: Good afternoon. Brent, on QuickBooks capital, I was curious if you could just talk a little bit about your aspirations and as I understand it, in the past you had a group of connected lenders that would loan to small businesses. I think now you are putting your own capital out to these small businesses. Can you just walk through the dynamics and how this changes in this initiative? And I had a quick follow-up.
Brad Smith: Sure, Brent. Let me start by saying that our goal remains unchanged. If you look at the number of small businesses and self-employed who are seeking access to credit, 70% of them still get turned down and yet we have visibility into things that most lenders don’t have, most only have a look backwards at history. We also have a look forwards. We have over 26 billion transactions in the QuickBooks ecosystem that we are able to look at, that includes forward-looking things like inventory on hand, invoices outstanding, cash flow, projects and process and it’s a combination of the past and the future and a proprietary algorithm that we think has led to a credit score or a credit rating system that is much more predictive of good businesses in which you can invest. And case in point is so far to date 60% of the loans that we have been able to issue were facilitate have been to people that would have been considered unlendable by other institutions. So, we are really excited to get access to capital into the hands of these small businesses and self-employed. To your second question, we think this could be a very promising opportunity over the long-term, but our use of capital was really to fuel or prime the top. What we needed to do was get a rapid feedback loop on whether our algorithms were predicting the things that we needed, so it would make it a better tool for other lenders. And so we, at this point in time, don’t have plans to become a bank and we don’t have plans to lean into that aggressively as opposed to using it as a way for us to tune our algorithms and make it a really good platform for other lenders to be able to provide access to capital. So, that’s sort of the summary of QuickBooks capital and hopefully answers your question.
Brent Thill: Great. And just a quick follow-up on the QuickBooks business and the growth rate in the back half of the year, I know you cited a couple of factors, but I think one of the questions we had from investors is given how big the market is and how early it is, why the growth rate should be fading at this point, any perspective it doesn’t sound like there is any fundamentally off, but just curious kind of what the rationale is given how early this is and why you would see that type of thing?
Brad Smith: Yes, there is no fundamental weakness in the business itself. As you have heard, the net promoter scores are improving in every geography. We are seeing strong funnel management. We just released a whole new set of innovations at QuickBooks Connect last week that we think will only accelerate conversion of the funnel. It’s just the reality of last year we opened up one of the biggest channels any company could hope for which is 100 million people visiting turbotax.com in a 100-day period and we got a nice pause of customers that we have exposed to that for the first time. And so we are going to have that grow over. We don’t view that as a foundational or a systemic weakening, we simply view that as a seasonality thing and we will see how strong we can go through tax season, but right now we just want to manage expectations that we did get a big tranche of customers in that period of time we want to make sure that we know the second half compares are a little more difficult than the first half.
Brent Thill: Thank you.
Brad Smith: You’re welcome. Thank you.
Operator: Thank you. Our next question comes from Kash Rangan with Bank of America/Merrill Lynch. Your line is open.
Kash Rangan: Hi, thank you very much guys. And Neil, we will definitely miss you and congratulations on your 10 years at Intuit. Brad, question for you, can you talk a little bit more about TurboTax Live specific segment of the market that you are trying to go after, is there any – on the flipside potential of cannibalization albeit you may experience higher ASP even if that were to happen, but what is it that you are looking to uncover here and how solid is the market research that you have conducted to validate the true potential for TurboTax Live? Thank you so much.
Brad Smith: Great. Thank you, Kash. Well, step back and look at the market and we’ll size the U.S. at a little over 150 million returns go to the IRS and somewhere approaching 90 million of those turn to an expert, whether it’s an tax store or a tax professional to answer questions or to complete their taxes for them. And when we get underneath that, the series of questions sometimes will just go as far as if I only had the answer to one nagging question, I would have been happy to do my taxes myself and it’s really where TurboTax Live leans in. Now, we have two flavors of TurboTax Live. We have to do it with me where we offer advice and then there is do it for me where we can take over the return and complete the return for you and sign it and those are both going to be in the marketplace, but we think the big opportunity is going to be that advice giving. A lot of people out there have simpler taxes and they simply have a nagging question based upon a life event change. They had a child. They moved between states. They sold stock and being able to actually get a tax expert on demand answered that question and then go on and finish your taxes we think is a big opportunity. I don’t see this as cannibalization. We actually see this as an opportunity to extend our value further into the market that historically has not moved to the do-it-yourself category or may actually switch from DIY to a tax pro, because they lost confidence. We think it’s a great retention tool as well as an opportunity to go into a part of the market we have underserved.
Kash Rangan: That’s fantastic. Do you have enough capacity to handle the demand if it surges, because that sounds like a terrific value proposition. Thanks. That’s it for me.
Brad Smith: Yes. Kash, I would tell you as we went through the tax filing extension season in October, we not only were able to validate there is real demand in the market on the consumer side. There is real interest on the professional side and they like the experience of the platform we have created. We were also able to run waters to pipes and our ability to scale. Now, obviously as we get into season, we are going to continue to learn, because there will be more volume and volume as we go closer to April 15, but right now, we have confidence to say we feel like we have got a strong operational model that has both consumer and tax professional benefit and we are really excited for the season to come.
Operator: Thank you. Our next question comes from Matt Fall with William Blair. Your line is open.
Matt Fall: Hi, guys. Thanks for taking my questions. Just wanted to follow-up a bit on TurboTax Live, so first of all, I think you mentioned that there is typically around 3 million TurboTax customers that go to a pro every year. Just wondering in terms of those customers that switchover, is it the case that they start the return and then run into a roadblock and switch to a pro or does something happen prior to them even starting their tax return that motivates them to switch over to a pro? And then I guess parlaying on that, how do you go about communicating to these customers or getting the message out there to sort of stop them from moving over to a pro? And then also in terms of the Live offering just kind of wondering the initial feedback you have heard from accounts and how confident you are that you will be able to build up that network big enough to handle any demand that you have on that offering to provide a good experience? Thanks.
Brad Smith: Right. Thanks, Matt. So, you are right, we did reference 3 million TurboTax customers who year-over-year end up losing confidence in themselves, simply because of a live event change and they asked to go to a professional. Sometimes for that next year, sometimes it could be for a couple of years, we have to win them back. Sometimes, that decision is made before even logging into the product, many times as once they get into the product and they realize that they have now had a child that’s crossed the magic gate and they can no longer claim them as a deduction where they sold stock and they start to lose confidence. So, how are we reaching them? Two ways, you are going to see our go-to-market campaigns and our advertising talking about the ability now to have a tax expert on demand. So, if you don’t log into the product, you will now know you can, because you have a tax expert that will be included with the software. For those that are in the product, we have in-product discovery, so if see you hovering too long in a particular area and throughout the product there is perpetual link that says if you want to get access to an expert simply press here. So we have both outside the product advertising and inside the product advertising. In terms of the experience, two things have that happened. We are way ahead of our expectations and our ability to recruit the number of professionals we think we’ll need for season. We have milestones for every month leading up to season and we are ahead of this milestone in terms of people signing up for the service. So we think we’ll have very strong professional supply. And the second is the net promoter scores of those tax professionals during the October extension season was above our targeted goal. So we are excited both in the volume of professionals we’re able to recruit, but also the experience they’re enjoying so far, now we have to see if we can sustain those levels as we get into the peak tax season.
Matt Fall: Great. That’s it from me guys. Thanks.
Brad Smith: Okay. Thanks Matt.
Operator: Thank you. Our next question comes from Keith Weiss with Morgan Stanley. Your line is open.
Unidentified Analyst: Hi, this is [Indiscernible] for Keith Weiss. I have two questions for you guys. One in terms of this year in terms of international expansion plans, any new countries that are coming onboard this year that’s important to flag?
Brad Smith: At this point, we haven’t announced additional countries. As we often say, we have so much opportunity in the countries we are in. We have real acceleration happening in Canada, the UK and Australia. We are still working to get that last mile of compliance and product market fit in France, India and in Brazil. We do have tests going on in other countries, we’ve referenced in prior calls, but those tests have not yet validated that we’re ready to go back into this market. And so at this point in time, I would say the countries we’ve announced are the ones we would stay focused on and that is still a 224 million prospect opportunity and as we just celebrated 2.55 million subscribers, we got a lot of headroom just in those countries.
Unidentified Analyst: That’s super helpful. And then maybe talk – go back to the commentary on the Apollo back to the commentary on the TurboTax bundle. Any early indications on what retention rates might be for those cohorts of customers that singed on last year any sort of early leading on whether they’re staying on board weather – whether they’re exiting higher than normal?
Neil Williams: Yes, David. I think the proof is going to be in the tax preparation season. The customers that have that bundle now look good in terms of their retention and their attributes. But we all know that is the tax preparation process itself that is the big value proposition for these customers. And so I think we want to get through an entire filing season and have a full annual cycle these customers before we get to definitive about what their retention characteristics are.
Unidentified Analyst: Great. Thank you so much.
Brad Smith: Thank you.
Operator: Thank you. Our next question comes from Adam Holt with MoffettNathanson. Your line is open.
Adam Holt: Hi, thanks so much. It’s Adam Holt from MoffettNathanson. Hi, guys. How are you?
Brad Smith: Hey, Adam. We are doing great. How are you, buddy?
Adam Holt: I’m very well. Thank you. So another good first quarter and I had two questions on the QuickBooks business. First, it looks like outstanding year-on-year margin expansion in QuickBooks, it look like 3, 4 points on year-on-year basis despite strong unit growth. you’ve talked a lot about the different factors that drive that, but maybe as relates specifically this quarter what did you see that enable you expand margins so much?
Brad Smith: Adam, the seasonality I think is something that can play some tricks in terms of trying to do the margins announces there, we don’t really look at it on a too much on a quarter-by-quarter basis. As I mentioned on the call, the accounting revenue is really what’s driving the top line the revenue growth our retention rates for QuickBooks is doing nicely. And so that’s held up the revenue side really well, but our expenses and our investments are not really, not evenly distributed throughout the year. So we’re excited about where it is, but it’s going to move around a bit through the year. So we’re excited about the customer growth and the top line growth for sure.
Adam Holt: Well, apologize I’m going to ask another quarter or unit question. But you beat numbers this quarter and as – as we’ve in the past sometimes you roll that into the year and in this case you did as well, so the annual numbers don’t change, which means we’ve got to take down a numbers a little bit in one of the forward quarters. Given what you said about the tough comps in QuickBooks we seem to be tougher in Q3, should we a) assume that the delta is in QuickBooks and b) assume that, that principally falls in the third quarter? That’s it for me. Thanks so much.
Brad Smith: Adam, I think that definitely the small business group was one driving the revenue growth in Q1. We do think that we have got a talk grow-over in Q3 particularly in small business. And so that’s one of the overall guidance we have given for the year for revenue and for subs takes that into account, that’s why we have been cautioning people that we are going to have a tough compare when we get to those self-employed bundle units in Q3. So, I would look to the full year guidance both in terms of online ecosystem revenue and in terms of subs and think about how Q2 and Q3 play out for those, but I would stick – I wouldn’t get far away from the full year guidance on either revenue or subs for the small business segment.
Adam Holt: Great. Thanks so much.
Brad Smith: Take care.
Operator: Thank you. Our next question comes from Michael Nemeroff with Credit Suisse. Your line is open.
Michael Nemeroff: Hi, great. Thanks. Congrats on a good quarter and Neil been nice working with you. Good luck going forward. Brad, I wanted to ask about TurboTax Live, I know there has been a bunch of questions on it, but can you give us a sense of what pricing has looked like during this trial period and how you expect that to be priced going into this tax season and then for that’s it for the second?
Brad Smith: Hi, Michael. So, many of you have been going through the product and we have spoken to you offline and you have been a part of our test sales. We have been testing a lot of price points out there. We have not yet announced our pricing. It’s still a little too far out for us to give competition or others that not, but I would say that what you are going to see it’s going to be a premium to the current price points we have in the TurboTax lineup, but we have not landed yet on what that price point will be or announced it, but you don’t mind, I have asked you to pull that back and we will get a little closer to see and then you will see the price points out there.
Michael Nemeroff: Okay, great. Thanks very much for taking the questions.
Brad Smith: You are welcome. Take care.
Operator: Thank you. Our next question comes from Jesse Hulsing of Goldman Sachs. Your line is open.
Jesse Hulsing: Yes, thank you. Brad, I wanted to ask about turbo which it sounds like you are launching next year if you were to compare turbo to some of the other consumer finance platforms out there, I guess like credit card and others, what’s the value proposition to consumers to get them to use the app? And I guess if you are a partner institution looking at turbo versus the others, what’s the value proposition for those partner institutions and lenders?
Brad Smith: Great. Thank you, Jesse. Let me start with just the interaction model. Our mission is to power prosperity. And for the consumer group, it is to provide financial freedom for consumers and so financial freedom has a 365 day a year task. Historically with TurboTax, we enjoy two interactions with customers a year, where Mint enjoyed 112 interactions with customers. The challenge is both were incomplete on a standalone basis, but when you bring them together as a platform and then you begin to look at the other customer and partner data that we have in our ecosystem we believe we can provide a platform that can help individuals and families better manage their financial health. The reason being is not unlike what I shared with QuickBooks capital, because we have access to more data and it’s not only backward-looking, but forward-looking. Today with the credit score what you can basically get with that is access to more credit cards. But if you had debt to income ratio, if you have IRS filed income that’s been verified by the government. So, it’s a real source of income and you also have the credit score, you can put the combination to those three things together and you can start to do some pretty wonderful things for consumers. You can help them find better financing for student loans, you can help them get lower credit card fees you can help them get access to mortgages to get better loans for car loan and a whole host of other things. So, we fundamentally believe that the data we have, the algorithms that we have written and the partners, the 40 that came with Mint, the more than half a dozen that have already signed up for Turbo and you put them together with others, we think we are going to be able to start to solve some important financial problems for consumers that others in the market just quite frankly can’t match today. And that’s the excitement. We still have much to prove. So, we haven’t baked a lot of that into any financials for this year, but we sure have a team focused on it and we think we are on something that could be really meaningful for consumers if we get it right.
Jesse Hulsing: That’s helpful, Brad. And a question about QuickBooks Online, it looks like ARPU was flat year-over-year and which is great to see given the increasing self-employed mix and international mix. It was also flat year-over-year in the first quarter of last year and then declined year-over-year in the second, third, fourth quarter. So I am wondering, do you expect that same pattern to play out through the remainder of this year? Thank you.
Brad Smith: You are welcome. I appreciate the question. If you go to our Investor Day deck, Neil did a wonderful job of laying out a page on ARPU on what we expected the trends to be going forward. And basically if I had to summarize that for you, because it has individual QBO U.S., QBO non-U.S., QuickBooks self-employed lay them all out. What you’re going to see is the health of the ARPU on a cohort basis is getting stronger up all those cohorts, but when you put it together is a mix. You’re going to have downward pressure on ARPU. So as you said, I would echo what you said, flat given the growth we’re seeing outside the U.S. and the self-employed is a good thing that you should know underneath the ARPU is getting healthier in each of this cohorts and it’s only a good news story every time. So I think Neil’s page in the Investor Day deck kind of lays out what our expectations are for ARPU and I think if you refer back to that it’s pretty much said what you just assumed.
Jesse Hulsing: Thanks Brad.
Brad Smith: You’re welcome.
Operator: Thank you. Our next question comes from Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Thanks very much. Brad, now we are through the extended filing season, I was wondering if you had any sort of thoughts when you – when you look back and you got the sort of last piece of the data from last year. Did it inform your view on the upcoming season and all just in terms of baseline units to start with I mean sounds like everything is pretty much in line what your – what you thought. But I just want to double check on that?
Brad Smith: Yes, last year still one of those years that’s going to play out as an anomaly, not unlike 2013, I think when you throw everything and including extensions is still going to be hovering around flat as a tax season of total IRS returns. And we had anticipated between 0 and 1% growth, I know we were a little more muted in our expectations than many in the industry. However, as we look ahead, we still have that same sort of an outlook for the coming year. We think it’s 0 to 1% growth here in total returns, no one has really been able to diagnose, I was just meeting with the IRS Commissioner and my peers in the industry 3 weeks ago in Washington, no one had a better hypothesis for what happened in tax season other than who knows and we’ll just have to gear up and get ready for this season. So it hasn’t changed our expectations for this year, I think we’re looking at fairly modest total returns growth happening at the government level.
Kirk Materne: Okay. And just the legislation pushing through Congress right now, does that change any thoughts in terms of just the shape of the season from a seasonal perspective in your view or is it still more of a – we’ll just have to wait and see what happens?
Brad Smith: Yes, at this point, it doesn’t. You’re right there’s still a lot that we’re going to wait and see. If there is positive news, it’s both coming out of the House and Senate most of the recommendations are proactive versus retroactive. Retroactive will comes an operational challenge for the IRS and then that cascade down to industry and sometime that leads to delayed tax filing season. If Congress can actually get through either sometime before the end of the calendar year or early January as long as it’s proactive, we still believe the shape of the season, we pretty much the same. There is just one caveat there and a one caveat of all those who’ve looked calendar closely. This year’s Q2 will have one extra filing day and it’s just the way that calendar works for us and one day and 100 day eight season can move things around just a little bit. The total season we don’t really see anything, we think it’s going to fundamentally reshape the curve.
Kirk Materne: Great. That’s it from me. And Neil, best of luck going forward.
Neil Williams: Thanks, Kirk.
Operator: Thank you. Our next question is from Michael Millman with Millman Research. Your line is open.
Michael Millman: Thank you. And also looking at the IRS kind of information, so really two areas of question, first understand the deduction increase assuming increase how do you see this impacting both though taxpayers now who are using assistant because they have all these deductions, computations and now they may not and sort of similarly how do you see those who are now using do-it-yourself and say boy it’s gotten so simple. I can do this myself, maybe you can put some numbers to those things. And then I have another question.
Brad Smith: Yes. Thank you, Michael. I think your overall thesis is similar to ours and that is the more success we have in getting the tax code simplified, the more success that will drive category growth for the do-it-yourself category. Many people turn to an expert today, because they have a nagging question or they think it’s too complicated. So, we think the simpler, Congress gets the tax code that’s better news for the do-it-yourself category. And as you know that’s the number one lever of growth for us. One point of category growth is worth several points of revenue for us if it plays out. The second is the do-it-yourself category I think software is the answer. I mean, if you look at the IRS they will tell you they don’t have the bodies to process paper returns like they did even 5 years ago. So, if someone says it’s so simple like do it myself, they are going to use software to do it and so we just have to make sure we have the best most effective software for them to get that done. So I think by and large a simplification is good news story for do-it-yourself category.
Michael Millman: Okay. And related, it’s in simplification is the postcard or return and I know you fought against this in California, so we have got to assume there is things about it you don’t like and maybe you can talk about what you see coming forward if indeed we have tax on a postcard?
Brad Smith: Yes. Thanks, Michael. Let me try to clarify what we were standing for and standing against in California. We were for simplification, we have been for more than a decade and we were for getting it so simply you can get it done on a postcard. Where we draw the line is we are believers and supporters in voluntary compliance, which is the citizen has the right to determine what they believe they owe the government and it’s the burden of the government to prove that they are wrong and not the other way around. It shouldn’t be the government actually sending out this form and saying here is what you owe us and then people who may have English as their second language or people who maybe intimidated by the government paying a number that maybe overpaid, because they are just nervous. So, what we have done just to be candid with you is while it was up in Washington a few weeks ago we have even built prototypes that we have shown Congress and the administration on how private industry can help them build this postcard for them, so that they can execute the plan they want to deliver we think that will be a wonderful thing. We just believe at the end of the day it’s the individual’s right to determine what their tax obligation is and it is not the government’s role to come in and say I am going to tell you what you owe me and pay me the money.
Michael Millman: So assuming the government takes your advice, what kind of impact would you see on the do-it-yourself business?
Brad Smith: Well, I am not sure the government will take my advice. I think the good news is industry overall as well as Congress many members of Congress have been on the record saying that this is the way the country was founded so many years ago as we felt that we should have the ability to determine what we owe based upon the set of rules and laws and not have somebody dictate to us what they are going to make us pay. So with that sentiment and we happen to be in that camp, we believe at end of the other day, the simpler this thing gets, the more people kind of move into do-it-yourself and I think it’s going to be a real accelerant, not only for the economy, but for the category and then ultimately for us if we do our job.
Michael Millman: Okay, thank you and Neil, best of luck in the future.
Neil Williams: Thanks, Michael.
Operator: Thank you. Our next question comes from Ross MacMillan with RBC Capital Markets. Your line is open.
Ross MacMillan: Thanks so much. Brad, we did a survey recently looking at TurboTax Live and those I guess two things that I was interested to ask I know you are not talking about pricing specifically, but I believe the assisted category has call it revenue or dollars per return that are something like 4x what Turbo Tax currently has. And as you think about the pricing model for this new offering, I am just curious if you could frame it in that context and I guess just trying to think about that envelope and how far you think you maybe able to go? And then secondarily we also found that other services like audit insurance and fraud protection could also sway customer decisions and I would think those would be important for folks that are maybe have more complex filings. So, I was just curious for your thoughts around sort of bundling some additional services with the TurboTax Live offering to try to increase that participation? Thanks.
Brad Smith: Yes, thank you Ross and always appreciate the work that you and your team do with the surveys in the end market discoveries. Your analysis is correct if you take a look at the average revenue per return we get in TurboTax, it’s a little more north of $50. If you look at what an average tax store charge is, it’s in that $180 to $220 range and you can go to a pro at $300 or $400. So, that’s multiple of the current price point of TurboTax. We are here today to tell you or anybody else on the call that we are announcing a 4x price point on TurboTax Live. In fact what you should here is we think we have a disruptive business model that will allow us to provide better value for the customer and at the same time be able to half and be a part of TurboTax franchise. So just know that somewhere north of where we are and south of where they are is probably going to be in the ZIP Code where the pricing will be. And then you’re on really important point with everything happening in the market today whether it’s cyber threats or other things whether it’s audit insurance or its fraud protection those are absolutely the kind of services we continue to not only market ourselves that look at creatively bundling with other products. As we get closer to see it, then we’ll hear a little bit more about those things, but that is the right theme, people are looking for peace of mind and some assurance that if anything happens to them that we’ve got there back and that’s what we want to continue to be there for.
Ross MacMillan: Thanks so much. Congrats as well, Neil and good luck for the future.
Operator: Thank you. Our next question comes from Scott Schneeberger with Oppenheimer. Your line is open.
Scott Schneeberger: Thanks. Good afternoon. Just curious well, there has been a lot to talk about timing fiscal second, third quarter and thanks for the extra filing day that’s interesting and I realized others things can move around relative to the guidance like maybe what comes out of the tax bill or other items, but I am just curious the PATH Act was disruptive last year on the consumer tax side. So Brad or Neil what’s the consideration in the guidance for the start of the tax season? How strong or weak are you expecting there and does that play into the guidance?
Brad Smith: Yes, Scott. We think the last year was an opportunity not only for the market, but for all that’s in the industry to adjust to the PATH Act, there is definitely a little bit of shock in all last year, no matter how hard we try to educate the end user once they finally fell into that muscle memory of filing their taxes. A lot of them were still surprised they weren’t going to be able to get their money until in February. I think that experience that they went through plus the experience we all had in conjunction with the IRS is we anticipate is going to be a new normal now, in terms of what the path acts impact will be. So we don’t really see any meaningful or material shift year-over-year, that’s all subject to no surprises coming out of Congress between now and tax filing season.
Scott Schneeberger: Great. Thanks. Appreciate that. And then Neil, if we can bring you on since it’s probably our last chance, kind of a similar question along the line of obviously there are a lot of investments going on this year and I am just curious how that might affect seasonality second quarter and third quarter this year and maybe things we might want to consider on the marketing front? Thank you.
Neil Williams: Yes, Scott. I think that the seasonality for Q2 and Q3 on the investments side both in R&D and in marketing, I don’t follow a similar path as a last year. It may be invested a little differently in some different ways, but we may have reallocated a bit within the categories, but I wouldn’t expect to see anymore shifts between quarters then you saw the last few years. Obviously, Q1 and Q4 are the lightest quarters for us, but Q2 and Q3 are the critical periods for us and the investment levels in those quarters are pretty well baked.
Scott Schneeberger: Thanks. Appreciate it and best wishes.
Neil Williams: Thanks.
Operator: Thank you. Our next question comes from Jennifer Lowe with UBS. Your line is open.
Jennifer Lowe: Great. Thank you. I wanted to sort of following up in last question, but looking at the OpEx and it looks like in Q1 there was a pretty material step up quarter-over-quarter and year-and-year and I know Neil you commented earlier that there’s always some shifting, but I noticed here is also going to be a an investment focus here for you as well. Since we look at the spending in Q1 and the step up year-over-year and quarter-over-quarter in that metric? How much of that we think of as maybe spending that got normally would happened later in the year that just happened a little earlier versus how much is attached to things like hiring that might persist throughout the course of the year?
Neil Williams: Hi, Jennifer. I think the level you saw in Q1 is really reflective of the investments we are making throughout fiscal year 2018. So again, I wouldn’t assume that it was necessarily front end loaded, but we outlined 4 areas on Investor Day that we really wanted to lean into in 2018 and make significant progress areas like machine learning or artificial intelligence or transition to AWS, improving market productivity and things like that. So you should expect and assume that in Q1 it reflects a higher level baked in throughout the year.
Jennifer Lowe: Great. Thank you.
Operator: Thank you. Our next question comes from Matthew Wells with Citi. Your line is open.
Matthew Wells: Hi, thanks for taking my question. I’m on for Walter Pritchard. And we were at your QBO Connect in San Jose last week we thought you guys all did a really good job. And we get the sense that you are positioning QuickBooks desktop to move upstream essentially targeting SMEs, can you add anything here and just maybe comment on how higher ARPU QBE customers are contributing to growth in desktop? Thanks.
Brad Smith: Yes, thank you Mathew and first of all thank you for coming to QuickBooks Connect. For those, who aren’t able to make it, it was I think at the 4 years perhaps the very best. We had over 5,000 attendees there, over 70,000 screaming live, energy level amongst the participants was amazing and speakers was incredible. And also the number of innovations we unveiled was unprecedented for us in any given event. So, it was a really big year. In terms of QuickBooks Enterprise, you are correct, in fact when you walk through total QuickBooks desktop units down 35% yet QuickBooks desktop revenue up 8%, that’s really being powered by QuickBooks Enterprise. QuickBooks Enterprise Solution is a disruptor to the mid-market. It is a fast growing product in our product lineup. It’s priced about 35% cheaper than any other competitors in that marketplace and we are going to continue to invest in that product. So, I fundamentally see as we said going forward desktop units overall will be down in the mid-teens, but you are going to see mid single-digit growth and that’s going to be powered by QuickBooks enterprise solutions which is our upper end product for the mid-market.
Matthew Wells: Thank you.
Brad Smith: You are welcome.
Operator: Thank you. Our next question comes from Siti Panigrahi of Wells Fargo. Your line is open.
Unidentified Analyst: Yes, this is [indiscernible] for Siti. I just wanted to see if you could comment on QuickBooks Online for the services revenue, how the payroll and the payments are doing?
Brad Smith: So I think you dropped in and out a little bit. Did you ask about how payroll and payments are doing in QuickBooks Online?
Unidentified Analyst: Yes.
Brad Smith: Well, we continue to be encouraged by the performance of our payroll and payment business overall. Those that are attached to the QuickBooks Online platform are accelerating at fast growth rates, payroll in the 20% plus range and the payroll and payments in the plus 30% range. We continue to get stronger performance in getting the payments and payroll standalone products over on to the QBO platform. In fact, we introduced some innovations with Go Payments. As you may remember, it was a standalone mobile offering, but it was off on a different technology stack. We now had ported over, so the technology now works with QuickBooks Online. But you should hear confidence and enthusiasm coming out of our payroll and payments ecosystem. We still have more work to do, but a lot of the innovation we talked about both internally and then externally QuickBooks Connect was focused in these areas.
Unidentified Analyst: It sounds good. Thanks.
Operator: Thank you. Our next question comes from Jim MacDonald with First Analysis. Your line is open.
Jim MacDonald: Yes, good afternoon guys. Just following up on that last question, what are the other prospects or possibly other services or other revenue streams in the other category for QuickBooks Online in addition to payroll and payments?
Brad Smith: Jim, are you referring to something on the fact sheet or are you asking theoretically are there other things we have in the pipeline beyond payroll and payments?
Jim MacDonald: Right, that could be significant going forward?
Brad Smith: Yes. Well, I think there is a combination. Payroll and payments have a lot of headroom. We have needed to get our execution things straightened out and I feel like we have got some run-rate there. QuickBooks Capital is one that we have talked about we are excited about as we start to really double-down on things like electronic invoicing or e-invoicing, we are seeing real benefit to customers. The innovation we introduced last week at QuickBooks Connect is it used to 33 clicks and a 48 hour approval period to get your invoice electronic enabled, P-enabled, not it’s 3 clicks in 1 minute. And so if you just look at payroll and payments at QuickBooks Connect and then the third-party services with all the different acts being built on the ecosystem, we will start to see what the next opportunities might be, but right now, I would say payroll and payments and probably QuickBooks Connect will be the place that I had put my attention.
Jim MacDonald: Great, thanks. And then in terms of the third quarter number of days for TurboTax, is that going to show a similar decline versus the increase in the second quarter?
Brad Smith: Yes, it’s a dayshift between the two quarters.
Jim MacDonald: Great. Best wishes, Neil.
Neil Williams: Thank you.
Operator: Thank you. Our next question comes from Sterling Auty with JPMorgan. Your line is open.
Jackson Ader: Hi, thanks guys. This is Jackson Ader on for Sterling tonight. One question from our side if how should we be thinking about TurboTax Live versus the investments that you have made in SmartLook, how do those compare and contrast?
Brad Smith: Yes, thanks Jack and I am glad you asked this question, because I think I contributed some confusion out there and we probably haven’t been as clear. Think of SmartLook as the technology that enables TurboTax Live to happen. TurboTax Live in end-to-end value proposition, it’s not only the TurboTax core product, it’s an expert on the other end and it’s the ability to connect through a video, a one-way video and have that sort of interchange between the customer and the expert. That interchange happens over a piece of technology we call SmartLook. So SmartLook was the code name before we got that end-to-end value proposition launch. It’s really the technology that enables one-way video that the overall bundle is called TurboTax Live.
Jackson Ader: Okay. I got it. Alright. That’s all from us. Thank you.
Brad Smith: Alright, buddy.
Operator: Thank you. Our next question comes from Nandan Amladi with Deutsche Bank. Your line is open.
Nandan Amladi: Hi, good afternoon. Thanks for taking my question. So back on the comment brought about QuickBooks enterprise, as you build out the roadmap you have a new version of the API coming on QuickBooks Online. How do you balance the future roadmap with the QuickBooks enterprise relative to QuickBooks Online and that online ecosystem?
Brad Smith: Yes, Nandan, thank you for the question. I would say you were going down a parallel path. We’re continuing to build out the feature functionality in QuickBooks Online and as we do that we hope to ultimately have a replacement or an alternative rather for QuickBooks enterprise in the online version. That’s going to take us sometime in the meantime there’s real customer problems in the market that are getting solved well by current mid-market solution. And we’re not abandoning the desktop, so we’re continuing to make the appropriate investments in the enterprise product to make sure it got the highest net promoter score while we are making the investments, Neil talked about the strength in QBO, QuickBooks Online and an acquisition we recently did was an acquisition of the company to provide sales and use tax. And that’s one of the key features that you need in an enterprise level product and so that’s just an example of what we’re doing to build out that functionality in QuickBooks Online.
Nandan Amladi: Thank you.
Brad Smith: You’re welcome.
Operator: Thank you. Ladies and gentlemen, I am not showing any further questions. Would you like to close with any additional remarks?
Brad Smith: James, I would. First of all, I want to thank everyone for the questions. I know that this is one of those weeks where we have got lot of things coming up and for those of you in the United States, the holiday. I did want to go back and thank the Lone Ranger here, Neil Williams. I often joke that over the years together, it’s been like Batman and Robin and he is the one that drives the Batmobile. It’s just been a real pleasure and joy to sit by him and to help navigate to this business model transition together and to learn from him and his sense of humor and his wit as you all know is unparalleled. And I am also delighted to see that not only has he left us better than he found us, but he really produced a strong leadership bench. And in that bench came Michelle and Michelle is just an outstanding individual. She is a great human being. She is an excellent financial expert. She is a great thought partner. And I believe that come February with the knowledge transfer that they have executed since August, we are really going to hit the ground running. And I will also tell you all you should rest easy, because he has taken the Batmobile keys and he has handed them to Michelle. So, once again I am not in the driver seat, I get the chance to sit in the cockpit, but there is no place I’d rather be, whether it’s Neil or Michelle. So, we tip our hat to you one more time my friend, you are just a good human being and great friend and we love you. And you will be forever in our Hall of Fame here. And Michelle, we can’t wait for you to step into his shoes and show what you can do with the next set of dancing legs. So we are going to be ready to rock and roll. Neil’s dancing legs were like mine, he tended stepped on my toes that I understand that you are going to bring a whole new level of professionalism. So that said and for everybody else and I wish you a happy and safe holiday season and we look forward to speaking with you soon.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call. You may all disconnect.